Bob Strickland : This is Bob Strickland. Thank you for participating in the Wells Fargo second quarter 2009 earnings review pre-recorded call. Before we discuss our second quarter results, we need to make the standard securities law disclosure. In this call we will make forward-looking statements about specific income statement and balance sheet items and other measures of our future financial results and condition, including statements about future loss content of and cash flows from the legacy Wachovia impaired loan portfolios, expected credit losses and credit performance generally and in specific loan portfolios, the adequacy of our allowance for credit losses, future levels of nonperforming assets, future levels of capital, the timing and amount of expected cost savings and business and revenue synergies related to the Wachovia merger and other initiatives, and our ability to generate revenue growth and earnings. These forward-looking statements are based on our expectations, and they are not guarantees of future performance. They speak only as of the date they are made, and we do not undertake to update them to reflect changes that occur after that date. Actual results may differ materially from expectations due to a number of factors, including our ability to successfully integrate Wachovia and realize the expected cost savings and benefits from the merger. There is no assurance that our allowance for credit losses will be adequate to cover future credit losses, especially if credit markets, housing prices and unemployment do not stabilize or improve. For a discussion of factors that may cause actual results to differ materially from expectations, refer to our SEC filings, including the Form 8K filed today, which includes the press release announcing our second quarter results, and our First Quarter 10Q and our 2008 annual report on Form 10K, each available on the SEC’s website at www.SEC.gov. In this call we will also discuss our tangible common equity, tier I common equity and related ratios as well as pretax, pre-provision profit. For more information about these measures, refer to our second quarter earnings press release which is accessible on our website www.WellsFargo.com by clicking on about us, then investor relations, then quarter earnings. We’ve also posted on our website a second quarter 2009 credit supplement that provides performance information for specific loan portfolios. I will now turn the call over to CFO Howard Atkins.
Howard I. Atkins : Wells Fargo earned another record profit this quarter $3.17 billion. While many banks are struggling to earn consistent operating profits we’ve had back-to-back quarterly record profits totaling $6.22 billion so far this year. Our second quarter profit which was up 81% from a year ago was after incurring a $565 million pretax FDIC special assessment, $244 million of merger related costs and a $700 million credit reserve build. The strength of our results should not be particularly surprising. Wells Fargo has a long track record of building its franchise in all economic environments by profitably growing its 80 plus businesses and this quarter was no exception. In fact, the number of businesses that contributed to the overall result was even larger and even more broad based than usual. We saw strong contributions from businesses as diverse as regional and commercial banking, mortgage originations and mortgage servicing, investment banking, wealth management, card services, insurance and international. Of our 30 or so largest businesses, more than half produced revenue growth of at least 8% annualized sequentially, the broadest mix of businesses with such strong growth in at least the last two years. In addition to the profits that come from successfully executing our uniquely diverse and well positioned business model, we are gaining new customers, gaining more of our existing customers business and gaining market share in any businesses. This inflow of new customers and additional business has the potential to continue to add to earnings well beyond the turn in the credit cycle. We also are beginning to benefit from the business synergies and new opportunities we have from acquiring Wachovia which has already begun to add to our earnings. Our earnings this quarter were driven by numerous accomplishments including the following: record revenue up 28% annualized from the first quarter; record retail bank household cross sell of Wells Fargo products of 5.84 products; and wholesale cross sell of 6.4 products at legacy Wells Fargo. At legacy Wells 41% of retail bank households have over six products with us and one out of every four retail bank households now have at least eight products with us. A 14% increase on regional bank and core product sales of legacy Wells Fargo from the prior year on a comparable basis. $194 billion in new mortgage applications, up from $190 billion in the first quarter; the second quarter was the second best mortgage applications quarter in our company’s history indicating potentially good origination levels in to the third quarter. A 20% annualized increase in combined average checking and savings deposits from the first quarter which now represent 80% of total core customer deposits, arguably the best deposit base among large banks in the world. Over $206 billion of new credit extended to customers in the second quarter. Wells Fargo has extended more credit than any other bank in the United States this year through May 2009 including mortgage securities purchased. 8% increase in wealth brokerage and retirement services client assets from the prior quarter, over $1 trillion of client assets. Net interest margin of 4.3%, the best among large banks, up 14 basis points from the first quarter. Pretax, pre-provision profit of $9.8 billion, up 27% annualized due to revenue growth and disciplined expense management. Pretax, pre-provision profit which is total revenue less non-interest expense was double credit losses in the quarter, another illustration of our ability to earn through the current credit cycle. Reflecting the diverse nature and competitive advantages of our business model, our pretax, pre-provision profit has remained well above cyclically high charge offs and has accelerated through much of the last two years. Our earnings were well balanced in the second quarter reflecting the overall quality of our record results. Total revenue earned in the quarter was roughly split equally between spread income and fee income and driven by both retail and commercial businesses. Wachovia and legacy Wells Fargo each contributed to the overall record $22.5 billion of revenue, about 39% from Wachovia. To give you some idea just how broad based the results were, I will elaborate on several of the businesses that grew revenue in the quarter. Wells Fargo remains one of the largest providers of credit to the United States economy. In the second quarter we extended $206 billion in new credit to our consumer and commercial customers for a total of $917 billion since the start of the credit crises in mid 2007. While loan demand has moderated in the last two quarters as consumers and businesses reduce their debt, the facilities we have extended represent an important source of liquidity to our customers and an important source of fee income to Wells Fargo. Loan and commitment fees in the quarter were up 6% annualized from the first quarter. We continued to experience very strong core deposit growth particularly in checking and savings accounts. While macroeconomic factors such as the money supply growth and higher consumer savings rates are having a positive impact on deposit growth in the industry, we believe we are gaining share as we add customers and build deposit relationships in retail, commercial and wealth management. Average core deposits of $766 billion in the quarter were up 6% annualized from $754 billion in the first quarter. During the quarter $24 billion of higher rate Wachovia CDs matured and we retained $14 billion of these deposits in lower cost checking and savings accounts or lower rate CDs. Consumer checking accounts were up a net 5.5% for the overall company and up a net 6.5% at legacy Wells Fargo from the prior year. California continued to outperform our other banking states with a net 9.5% increase in consumer checking accounts benefitting from our strong competitive position in the state and from growth at Wachovia stores. We also had strong growth in small business checking accounts, especially in Wachovia’s retail banking franchise. Small business checking accounts were up a net 3.9% throughout Wells Fargo and up a net 6.2% at Wachovia from the prior year benefitting from a small business marketing campaign. Our deposit base is arguably the best among large banks with approximately 10% of the nation’s deposits at Wells Fargo. About 80% of our core deposits are in checking or savings accounts, among the highest of our large bank peers based on first quarter data. This is a major driver behind our industry leading net interest margin. We have several competitive advantages in being able to attract and maintain more low costs deposits. First, our long term focus on capturing the primary checking account relationship has provided a gateway to increased cross sell and balance retention. On average our retail checking account customers have five additional products with legacy Wells Fargo which increases our success in retaining these checking account balances. As the nation’s number one small business lender as well as the number one SBA lender including Wachovia, we also focus on serving the checking account needs of our small business and business banking customers which also drives our higher balances. Finally, our strong distribution network and the convenience it offers is key to meeting the needs of our existing checking account customers and attracting new retail and business customers. Wells Fargo Home Mortgage had its third best originated quarter in its history, $129 billion in the quarter, up 28% from the first quarter. Mortgage applications in the second quarter were $194 billion, up $4 billion from the first quarter application rate. Applications for home purchases almost doubled in the quarter reflecting increased purchase activity in some markets, like California, where lower home prices and lower mortgage interest rates have substantially improved affordability. Despite the increase in mortgage rates late in the second quarter, the mortgage pipeline ended the quarter at a relatively high $90 billion. The managed mortgage servicing portfolio increased 38% from a year ago to $2.2 trillion. The servicing side of the mortgage business not only has good fee income growth and economies of scale but, it also represents an important source of cross sell opportunities. As mortgage rates rose 72 basis points during the quarter, we wrote up the mortgage servicing rights asset by $2.3 billion while writing down the value of the offsetting hedge by $1.3 billion. The hedge generated solid carrying income due to the low level of short term rates which we expect will continue in the third quarter. Future hedge results however will also depend on the amount of servicing that is hedged and the composition of the hedging instruments. The ratio of MSRs to loans serviced for others was 91 basis points at quarter end down from 137 basis points a year ago. The average note rate was only 5.74%, the lowest rate in over three years. Card fees grew 33% annualized from first quarter on higher volumes, not by raising the fees we charge our customers. Our credit card business is relationship based, primarily sold to existing banking customers as a means of deepening the relationship. We intentionally have kept our fees constant while others in the industry have increased customer fees. Linked quarter purchase volume on credit cards was up 26%. Some of this growth was seasonal but also reflects increased customer usage and new customer growth including new private label dealers at Wells Fargo’s financial retail sales finance business. While credit losses on credit cards remain elevated, the business remains profitable. We have a great opportunity to cross sell credit cards to the Wachovia customer base. Currently 15% of Wachovia’s retail bank customers have a credit card with us compared with 36% penetration at legacy Wells Fargo. The National Credit Card Act will benefit some credit card customers by eliminating practices such as double cycle billing and universal default. Wells Fargo did not engage in any of the practices that the Act is addressing however, other aspects of the Act will likely result in further credit tightening and general increases in the cost of consumer credit. Wealth, brokerage and retirement services posted a strong second quarter driven by 13% linked quarter revenue growth and positive operating leverage. Client assets reached $1.1 trillion at quarter end, up 8% from the first quarter. We also had strong growth in deposits, up 11% from the first quarter. As retail investors waded back in to the markets in the second quarter, we were able to help them with their investment needs. Through our retail securities brokerage business, we’ve managed to count assets up 16%. Our 22,000 registered representatives now have full access to Wells Fargo suite of deposit, mortgage, trust and other banking products for their clients. Second quarter saw a record mortgage origination volume through this channel, another example of new cross sell and revenue synergies with Wachovia. We expect additional cross sell as we integrate our home equity, small business financing, business lending, equipment financing, credit card and other platforms to our brokerage business in the coming quarters. Year-to-date we have recruited nearly 1,000 experienced financial advisors and on average the business productivity of the new financial advisors is 60% higher than those who left. Our retirement services business also benefited from improved market conditions and higher net inflows with retirement plan assets up12% to $250 billion and IRA assets up 10% to $212 billion from the first quarter. With the acquisition of Wachovia Dealer Services, Wells Fargo is not the second auto lender in the country. Revenue in this business is up 7% from the first quarter driven by portfolio growth and widening spreads. Two years ago Wells Fargo’s auto business was underperforming and we purposely put the brakes on the growth in this business. Today, we’re extremely pleased with the performance of Wachovia Dealer Services with the expertise acquired from Westcorp., it’s one of the best run auto businesses in the country with an exceptional management team that understands how to operate a profitable auto business. This strong team combined with the corporate strength of Wells Fargo and capabilities across the retail and commercial auto business is producing excellent results and gaining market share. Investment banking revenue increased 29% from the first quarter. This business combines the best of the two companies advisory, financing and securities distribution capabilities to provide a range of essentially fee based investment banking and securities placement services. On top of that, we have one of the most attractive bases of corporate and commercial relationships in US banking. The skill and scale we now have in this business allows us to profitably participate in the customer advisory and customer flow aspects of investment banking. Asset based lending revenues grew 13% from the first quarter. This group of businesses includes Wells Fargo Foothill, Wells Fargo Business Credit, Wells Fargo Trade Capital and Wachovia Capital Finance. Asset based lending typically produces strong results in tougher economic environments by providing our commercial customers creative financing alternatives to more traditional bank lines and other sources of capital. Margins continue to widen and we continue to increase share in this business as competitors struggle or exit the business. Asset based lending is also benefitting from the enhanced investment banking platform gained through the merger with Wachovia. We’ve had more chances to compete for and win lead positions in larger credit facilities creating additional fee income. ‘ Our international business also produced strong linked quarter revenue growth up 16% annualized from the first quarter. Our global payments business was acquired with Wachovia, generated 14% growth from the first quarter in international fees from its business of processing US dollar payments from overseas banks. This represents a substantial turnaround from the second half of last year when volume in the business was reduced as global bank customers reacted cautiously to market conditions in the United States. With the assurance of the strength of Wells Fargo behind this business, these customers returned this year. In addition, our foreign exchange revenues were up 14% on a linked quarter basis where volatile currency markets continued to drive greater customer demand for risk management solutions. The Wachovia acquisition is proceeding as expected. 39% of consolidated revenue in the second quarter came from Wachovia. Revenue synergies between legacy Wells Fargo and Wachovia are emerging in both directions and are ahead of expectations. For example, we’ve successfully leveraged the distribution capabilities of Wachovia Securities with Wells Fargo’s extensive commercial and corporate relationships to earn more bond and equity origination mandates. In our mortgage business, some of our near record volume of mortgage applications is the result of Wells Fargo mortgage reps working with Wachovia customers to help them finance or refinance a home. New revenue opportunities from the Wachovia acquisition are potentially significant. For example, while Wachovia as a similar number of retail banking stores and about 10 million retail bank households, Wachovia’s retail bank household cross sell of Wachovia’s products is currently 4.55 compared with legacy Wells Fargo retail bank cross sell of Wells Fargo products of 5.84. So, increasing the cross sell of Wachovia retail bank households just to the legacy Wells Fargo levels will provide an opportunity to increase the number of products held by Wachovia customers by over 25%. This opportunity extends across many products, for example, 14% of legacy Wells retail bank households have either a Wells Fargo or Wachovia mortgage compared with 9.5% of Wachovia’s retail bank households. 36% of legacy Wells retail bank households have a credit card with us compared with around 15% at Wachovia. Around 80% of legacy Wells Fargo retail bank households have a debit card compared with only around 60% at Wachovia. In addition to these revenue synergies, we are on track to achieve $5 billion of annual run rate expense savings when the integration is completed which is scheduled to occur in 2011. We have begun to realize those savings in the first two quarters of the integration although merger and integration charges have largely offset the consolidation savings so far. Let me now turn to credit quality which performed in line with our expectations. Our credit losses increased during the quarter as expected but, the rate of increase slowed in many of our consumer portfolios. We also saw some signs of stabilization in early stage delinquencies in certain consumer portfolios. At legacy Wells Fargo, seven portfolios including credit card and business direct had a decline in 30 days past due in the second quarter compared with the first. While this trend may not continue, we believe it reflects the actions we’ve taken in tightening credit standards over the past 24 months. Other portfolios such as commercial continue to show higher losses but from historically low levels. Losses throughout our portfolios will continue to be driven by unemployment and real estate values. But, with the purchase account marks we took on Wachovia’s portfolios and the actions we’ve taken to reduce risk throughout our portfolios, we are encouraged by have they have performed during these challenging economic times. We once again provided a lot of detail on our individual loan portfolios in our credit supplement this quarter which is available in the investor relations section of our website. I’d like to highlight two of our portfolios, the commercial real estate and pick-a-pay portfolios. We provide commercial real estate loans to businesses large and small. Our $137 billion commercial real estate portfolio is well diversified by property type and geography. As expected, losses throughout our commercial real estate portfolio are increasing from historically low levels. However, we also firmly believe that our relationship focus and prudent credit discipline builds inherently higher quality in to the CRE loan book compared with the rest of the industry. Our commercial real estate loans are primarily originated through two key channels, $77.8 billion are in the wholesale banking group which originates both larger and more complex CRE loans in our real estate banking group as well as loans to medium sized customers in our middle market real estate group and our commercial banking group. At Wells Fargo, a seasoned and experienced credit risk management team is responsible for maintaining credit discipline. We believe this is the best team in banking and we continue to benefit from their deep experienced gained from managing through several previous tough credit cycles. The loans originated at Wachovia that were included in the impaired portfolio are being aggressively managed by a dedicated team focused on mitigating risk and losses utilizing a variety of asset restructuring, disposition and work out strategies. While the loss rates on the impaired portfolio have been significantly higher than our core wholesale CRE portfolio, they are generally performing as we had anticipated and as previously indicated estimated life of loan losses in Wachovia’s CRE portfolio were already written down at close. The $50 billion of CRE loans originated through the community banking group have a smaller average loan size and are geographically diverse. Approximately half of those loans are owner occupied. While credit losses throughout our CRE portfolio are increasing from historically low levels, unlike the residential real estate market, and for that matter the commercial real estate market of the early 90s, we’re not dealing with an outsized overbuilt market. While the size of our portfolio has remained relatively flat, reflecting lower demand, we continued to originate high quality loans at improved terms and spreads. The pick-a-pay portfolio also performed as expected as we continued to derisk the portfolio. I’d like to highlight some key points that are important for every investor to understand about this portfolio. First, not all option ARM portfolios are alike and we believe we have the best portfolio in the industry. While recently reported industry data as of April 2009 indicates 37% of all industry option ARM loans are at least 60 days past due, our portfolio is performing significantly better with only 18% 60 days or more past due as of June 30th. Not surprisingly, our non-impaired portfolio is performing significantly better than our impaired portfolio with only 4.7% 60 days or more past due. In fact, 92% of the non-impaired portfolio is current compared with 62% of the impaired portfolio. In addition, while many other option ARM loans have recast periods as short as five years, our pick-a-pay loans generally have 10 year contractual recasts. As a result, we have virtually no loans where the terms recast over the next three years allowing us more time to work with borrowers as they weather the current economic downturn. Second, we continue to reduce the size of this portfolio with a total of $90 billion outstanding, down $3 billion from the first quarter and down $5 billion from yearend. This reduction reflects loans paid in full, loss mitigation efforts and the fact that we are not originating any new loans of this type. Third, we have been very active in assisting customers in modifying loans, completing 22,200 loan modifications in the second quarter, up from 11,000 modifications in the first quarter. These modifications include principal forgiveness, term extensions and interest rate reductions. In most loans that we modified we eliminate the negative am feature, confirm income and reduce debt to income to no higher than 38%. We are seeing very positive early performance on these loan modifications but it is still too early to declare a success. However, we are confident that the significant loan modification efforts we are making will reduce the future losses we will realize in this portfolio. In addition, the lower carrying value that results from these modifications improves loan-to-values. For the first time in over five years, deferred interest balances declined this quarter due in part to lower interest rates and the impact of gradually increasing minimum payment requirements which not only eliminates additions to deferred interest but reduces the deferred interest already outstanding. Finally, after once again reviewing the impaired pick-a-pay portfolio, we did not need to take any credit reserve strengthening actions during the quarter on that portfolio. In addition to pick-a-pay we continued working with customers on other real estate secured loans throughout our portfolio to help ensure ongoing affordability. In the first half of 2009, through lower rates, refinances and modifications, we helped close to one million homeowners. This includes providing more than 200,000 trial and completed modifications including those made in our pick-a-pay portfolio, an increase of more than 100% from the same period last year. We’re doing everything we can to help customers including increasing our trained staff by 54% over the first half of this year to 11,500 default team members. It is important when analyzing trends for the quarter to remember that these loan modifications also affected certain credit metrics. For example, if a modification includes some debt forgiveness, the amount forgiving will generally be charged off and increase net charge offs for the period. However, one effect of this forgiveness may be to pull forward net charge offs that might otherwise have occurred in the future. Therefore, a current period charge off is in effect a derisking action that may benefit future portfolio credit quality. Loan modifications can also create troubled debt restructurings. We do not reclassify to accruing status a non-accrual loan that has been modified until the borrower has made at least six consecutive payments under the modified terms. Our credit performance continued to benefit from our efforts to reduce our balance sheet exposure to higher risk loans. Approximately $114 billion of consumer loans are from businesses we have exited or from portfolios that we are running off. These include legacy Wells Fargo indirect auto, a portfolio we began reducing nearly two years ago, indirect home equity which we also exited almost two years ago, pick-a-pay which Wachovia stopped originating last year and which was subject to purchase account write downs and has benefited from our success in modifying the loans. Additionally, we are focused on further reducing certain higher risk portions of Wachovia’s commercial real estate division’s portfolio. In total, these portfolios have been reduced $51 billion or 24% since June 30, 2008 to write downs, run off or modification including a $6.3 billion reduction just in the second quarter of 2009. Because we have been reducing credit exposure for some of these higher risk portfolios, we believe growth in loan losses will be more moderate than what would otherwise be the case and the peak in our credit losses would be expected to occur earlier. The increase in non-accrual loans during the quarter was as expected. When analyzing our non-accruals it is important to keep in mind several things first, about 60% of the increase in non-accruing loans came from Wachovia’s non-impaired loan portfolio largely due to Wachovia’s impaired loans being written down through purchase accounting at the time of the merger and the removal of those loans from non-accrual status which left only $92 million in non-accrual loans as of December 31, 2008. Because of the low starting point, there was an expected repopulation of non-accrual loans balances that primarily occurred in the second quarter. Going forward, the increase in non-accrual loans attributable to this repopulation effect will be much less significant. Second, not all non-performing loans result in a loss. More than 90% of the second quarter’s $18.3 billion in non-performing assets are secured. We consider both delinquency and default non-performing status and both loss and allowance estimates for our consumer loan portfolios. The consumer problem loan policy requires real estate secured loans to be p laced on non-accrual at 120 days past due. At 180 days past due the loan is written down to the net realizable value and the loss is taking through charge offs. The allowance therefore captures emerging loss estimates for these loans. The majority of the loss associated with these loans is taken at 180 days past due. Because of the continued weakness in the real estate market and large amount of loan modifications we’ve completed, non-performing loans are staying on the books longer than in the past and additions to non-performers showed signs of stabilization due to the benefit of loss mitigation and prior credit typing. We continue to build our allowance for credit losses totaling $23.5 billion which included a $700 million credit reserve build in the second quarter. The allowance covers approximately 12 months of expected losses for our consumer portfolios and inherent losses in commercial and commercial real estate portfolios expected to emerge over approximately the next 24 months. The allowance coverage considers the current economic environment, the impact of our derisking and the historical performance of the loan portfolios. Let me now turn to capital; we continued to significantly build capital during the quarter with our tier I common equity to risk weighted assets reaching 4.49% at quarter end, up from 3.12% at March 31st. Tangible common equity to total risk weighted assets was 5.24% at quarter end, up from 3.84% at March 31st and tier I capital to total risk weighted assets reached 9.8%, up from 8.3% at March 31st. By June 30, 2009 we had already generated $14.2 billion toward the Federal Reserve’s $13.7 billion SCAP capital requirement an excess of $500,000 million. We generated this $14.2 billion through an $8.6 billion equity raise and by generating capital internally in the second quarter including $2.4 billion of actual pre-provision net revenue or pretax pre-provision profit plus certain federal reserve adjustments in excess of the Federal Reserve’s estimate, $2.7 billion realized of deferred tax assets and $500 million of other internally generated sources of capital including core deposit intangible amortization. These internal sources of SCAP qualifying capital are expected to further add to the $14.2 billion in the third quarter. As you know, we accepted the US Treasury’s investment of $25 billion last October to help extend credit in to the US economy and we have extended a total of $471 billion to credit worthy customers since then, nearly 19 times the government’s investment. We will work closely with our regulators to determine the appropriate time to repay their investment and we will do this in a shareholder friendly way while maintaining strong capital levels. In summary, it has truly been an exceptional quarter and year for our company. We’re extremely pleased with the performance of our businesses across the board and underscoring the balanced strength of our diversified business model which drove a record $3.2 billion in profit. This demonstrated once again an ability to create sustainable growth through all cycles, very much what we’ve been saying throughout the credit crisis. While of course we still operating in the challenging economic environment, it is worth repeating some of our accomplishments this quarter: record revenue up 28% annualized from first quarter; record pretax pre-provision profit of $9.8 billion with strong contributions across our diverse businesses; our best mortgage origination quarter since 2003; net interest margin of 4.3%, the highest among large bank peers; 20% growth annualized in average consumer checking account and savings deposits; higher capital ratios; and strengthened reserves. The new Wells Fargo is off to a very powerful start and we see an incredible future in the years ahead. If you have any questions, please call Bob Strickland, Director of Investor Relations at 415-396-0523 or Jim Rowe, Associate Director at 415-396-8216.